Operator: Good afternoon, ladies and gentlemen, and thank you for joining the Cowen Group Incorporated's conference call to discuss the financial results for the 2016 first quarter. By now you should have received a copy of the company's earnings release, which can be accessed at Cowen Group Incorporated's website at www.cowen.com. Before we begin, the company has asked me to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to risks and uncertainties described in the company's earnings release and other filings with the SEC. Cowen Group Incorporated has no obligation to update the information presented on the call. A more complete description of these and other risks and uncertainties and assumptions is included in the company's filings with the SEC, which are available on the company's website and on the SEC's website at www.sec.gov. Also on the call today our speakers will reference certain non-GAAP financial measures, which the company believes will provide useful information for the investors. Reconciliation of these measures to GAAP is consistent with the company's reconciliation as presented in today's earnings release. Now, I would like to turn the call to Mr. Peter Cohen, Chairman and Chief Executive Officer.
Peter Cohen: Thank you, operator. Good afternoon, everybody. Welcome to Cowen's first quarter earnings call. With me, as usual, are Jeff Solomon, President of the firm; Steve Lasota, our CFO. As you know, it was a challenging and volatile environment during the quarter, notwithstanding we were able to grow our equity business; play a key role in a number of banking transaction that were equity issuances among the very few executed in the quarter; raised new assets in our asset management business, bringing AUM to new level. And importantly announced another important transaction making a move into credit research and trading, emerging markets and special situations, with our announcement last month to acquire those specific businesses from CRT Capital. Just to be clear, we're not buying the entire company, we're just buying certain businesses. While the continued concerns regarding the macro environment, new investor sentiment is in a very different place from a year ago, when Cowen reported our strongest first quarter in terms of revenue and economic income, since the formation of Cowen at the end of 2009. For the quarter ending March 31, 2016, we reported economic income loss of $4.9 million or a loss of $0.05 per diluted share compared to economic income last year of $23.6 million or $0.20 per diluted share in the quarter. Economic income revenue was $106 million, which compares with $162 million in last year's first quarter. In this difficult environment, we delivered record brokerage revenue and the alternative investment management business attracted new assets. This, however, was offset by lower levels of investment banking revenue, incentive fees from the investment management business and lower investment income from the balance sheet. In the quarter, the hedge fund industries assets fell below $3 trillion worldwide for the first time since 2014. The decline in assets was a result of very challenged performance environment, which made asset raising extremely difficult. However, the majority of our alternative asset management products and capabilities generated positive performance during the quarter and continued to grow. In addition, we raised $443 million in gross assets or $110 million net, ending the quarter with $13.7 billion in AUM. Of the $373 million net increase in AUM since January 1, we saw $442 million in subscriptions, $333 million in redemptions and $263 million of positive performance. Management fees for the alternative investment management segment averaged $5.4 million a month in the first quarter, a decline of approximately $160,000 a month from the prior period. The decline in the overall monthly management fee run rate is attributable to an agreement, which was executed to sell a portion of our ownership interest in the activist business back to the principals of Starboard at the end of last year. And because we were kind of back-ended in the quarter in terms of the new assets coming in, we didn't get the full benefit of fee run rate for the whole quarter. The average management fee was 48 basis points in the quarter compared to 53 basis points in the prior-year period. In addition to funds raised for existing products, we also announced in early April that we finalized next year's partnership agreement with a very unique individual, Samantha Greenberg, who will manage an equity long short strategy, initially focused on communications, technology, media and consumer sectors. The equity long short fund is the second, [indiscernible] and women's-owned business to join the Ramius platform, and is our tenth capability. Also in this difficult environment, we launched the Ramius Archview Credit and Distressed Fund to registered investment company or RIC as we call it intended to meet the underserved needs of the inventors who are qualified clients, that is being distributed to one of the big retail distribution platforms as well as directly. We are working towards the launch of UCITS in Europe and the launch of a number of other funds from our affiliates later this year. Our investment portfolio is modestly affected by short-term market volatility. For the quarter the balance sheet produced $1.9 million in investment income compared to $28.9 million in the year-ago period. Merger arb was our most productive strategy. Gains and merger arb in our private portfolio helped to offset mark-to-market losses in other areas. We bought back $3.6 million worth of stock under the existing repurchase plan, and the total available for repurchase today continues to be $25 million on an ongoing basis. Before I turn the call over to Jeff, I would like to thank all of our colleagues at Cowen for their consistent effort to advance the organization's goals through these really difficult times. Mr. Solomon?
Jeffrey Solomon: Thanks, Peter. First quarter performance improved in our equity brokerage business, as we benefited from the elevated customer activity in cash and electronic trading, as well as solid contributions from prime services, the acquisitions we completed last year. However, our investment banking business is adversely affected by market volatility, which contributed to a general slowdown in equity financing. For the industry overall, it was a difficult quarter for equity financings. In our focus sectors, total proceeds raise declined almost 40% year-over-year to $43 billion. Eight companies debuted across all of our focus sectors, the fewest number of IPO since the financial crises. The number of follow-ons in our focus sectors declined by 48% and in the healthcare sector, specifically, total proceeds raise and IPOs and follow-ons declined by 60% year-over-year. Despite the decline in activity, healthcare was the most active sector. It was the only sector to see IPOs and was the second most active sector in follow-on. Our result in equity capital markets largely neared these trends. ECM revenue was $22.7 million, representing a 63% decline year-over-year. We closed on 12 transactions during the quarter compared to 47 in the first quarter. We were a book runner on six of those transactions versus 27 in the prior-year period. Our average underwriting fee rose, however, 45% to $1.9 million from $1.3 million. While volatility has subsided since been February, the overall environment for capital markets remains challenged. Conversations of corporate clients are increasing and we should have a strong backlog to execute upon when the window for capital raising reopens. We do expect more companies to consider M&A as an alternative to go in public and we've already had a few transactions signed in the second quarter, as we are working to be engaged in dialogues with a number of our existing client. In addition, we expect to see increased number of companies consider convertible financing as an alternative to straight equity and we're in dialogues there as well. For example, during the quarter we completed a convertible debt transaction for a healthcare client, a transaction that enabled that company to raise greater proceeds in straight equity, despite the correction in the biotech market. The pending acquisition of the credit team from CRT will compliment our efforts in debt capital markets, special situations and balance sheet advisory as well as in converts. We expect that transaction to close in early May. Turning to our institutional brokerage business, which includes the equities and prime services businesses. While U.S. equity price indices ended the quarter with modest gains. There was a lot of movement in stock prices during the quarter. Trading volumes were elevated through January and part of February, a period in which we posted our best commission days since the merger in 2009. Revenue rose 49% year-over-year to $53 million versus the highest level since the formation of Cowen. We experienced year-over-year gains in cash equities and electronic trading. And while our brokerage results benefited from the heightened market volumes, we were able to garner our fair share of commissions as a result of our improved connectivity with client, which is something we work very hard to achieve. Our efforts are reflected in our improving standings in the vote with a number of institutional accounts versus just a few years ago, and reflect the fact that we have a better match work to meeting our clients needs on a consistent basis. So trading volumes abated in March, a trend that has continued into the second quarter. We take comfort in knowing that what we do, which is providing clients with relevant and insightful research that helps them outperform in this difficult environment, is now in greater need than ever before. To that end, prime services also posted higher revenues for the fourth quarter of 2015, which is our first full quarter of that business being under our umbrella. We're continuing to see positive momentum as it relates to new clients and are seeing increases in [indiscernible] fees assets as well. Clients who have been abandoned by the larger banks chose to prime with us, because they see our commitment to the space and the attractiveness of our value proposition. And we're, obviously, using our existing infrastructure to scale the business pretty meaningfully. For example, prime services is already leveraging our London infrastructure to expand our outsource trading services to hedge funds and clients, our hedge fund clients in London and in Europe, and we're continuing to explore ways to expand our footprint there as well. I will now turn the call over to Steve Lasota, who will review our financials. Steve?
Stephen Lasota: Thank you, Jeff. In the first quarter of 2016, we reported a GAAP net loss attributable to common shareholders of $5.4 million or a loss of $0.05 per diluted common share compared to GAAP net income attributable to common shareholders of $16.7 million or $0.14 per diluted common share in the prior-year period. The first quarter of 2016's GAAP net income attributable to common shareholders is net of preferred stock dividends of $1.7 million, which is associated with the preferred stock issued in May of 2015. In addition to our GAAP results, management utilizes non-GAAP financial measures, which we refer to as economic income. Management uses economic income to measure our performance and to make certain operating decisions. In general, economic income is pre-income tax measure that excludes the impact of accounting rules that require us to consolidate certain of our funds, certain of our acquisition-related adjustments and reorganization expenses, goodwill and intangible impairment and preferred stock dividends. The remainder of my comments will be based on these non-GAAP financial measures. In the first quarter of 2016, the company reported economic income loss of $4.9 million or a loss of $0.05 per diluted share. This compares to economic income of $23.6 million or $0.20 per diluted share in the prior-year period. First quarter of 2016 economic income revenue was $105.6 million compared to $161.7 million in the prior-year period. Investment banking revenue was $26.1 million compared to $65.2 million in the first quarter of '15. Brokerage revenue rose 49% year-over-year to $52.9 million. Management fees were $16.9 million, a 2% increase over the prior-year period. Incentive income was $6.9 million compared to $15.4 million in the prior year. And investment income was $1.9 million compared to $28.9 million in the prior year. Other revenue was $1 million compared to $0.1 million in the prior year. The comp and benefit expense for the quarter was 59% of economic income revenue compared to 59% in the prior year. Variable non-comp expenses in the first quarter were $15.2 million compared to $13.2 million in the prior-year period. This increase is primarily related to higher floor brokerage and trade execution costs, due to higher brokerage revenue, and increased marketing and business development expenses, some of which is related to the two acquisitions during late 2015. Fixed non-comp expenses totaled $27.2 million in the first quarter compared to $25 million in the first quarter of 2015. This increase was primarily due to higher legal and other professional fees, increased occupancy costs and increased depreciation and amortization, all of which are primarily related to the two acquisitions during late 2015. Stockholders' equity increased by $93 million to $783 million at March 31, 2016 from March 31, 2015. The increase is primarily related to the preferred stock issued in the second quarter of '15. Common equity, which is stockholders' equity less the preferred stock, was $681.6 million compared to $690.1 million at March 31, 2015. Book value per share, which is common equity divided by shares outstanding was $6.43 per share compared to $6.21 at March 31, 2015. Tangible book value per share, which is common equity less goodwill and intangible assets, was $5.64 per share compared to $5.82 per share at March 31, 2015. Investment capital stood at $666 million as of March 31, 2016, versus $614 million a year ago. And moving to our share repurchase program. In the first quarter we repurchased approximately 1 million shares in the open market and acquired 1.1 million shares as a result of net share settlement related to the vesting of equity awards at an average price of $3.57 per share and a total cost of $7.6 million. As of March 31, $21.4 million remained available. And yesterday, Cowen's Board approved $3.6 million increase to the share repurchase program, bringing the total available for repurchase to $25 million. I'll now turn the call back over to Jeff for closing remarks.
Jeffrey Solomon: Thanks, Steve. In a period with political and economic uncertainty, our services are needed more than over. Everything we do is geared towards helping our clients outperform. Additional client fee in excess to differentiate alternative investment products and solutions, and corporate clients need solid financing and strategic advise. Portfolio managers, buy-side analysts and traders need to access insightful research, non-conflicted trading and execution services and comprehensive brokerage solutions. In short, we cannot predict the timing of recovery in the capital markets, but the fundamentals and the underlying of our clients' long-term financing needs still remain intact. Our brokerage business is showing a higher level of consistency, which helps to smooth out some of the lumpiness inherent in our other revenue lines. And should we continue to successfully grow assets on our management that should translate into steady growth and management fees as well. With $1 billion in total capitalization, we are well-capitalized and maintain a significant amount of liquidity. In terms of capital management, we're continually evaluating the various avenues available to us to drive long-term shareholder value, and the easiest way continues to be to buyback stock, so long as our stock is trading at a discounted tangible book value. Since our buyback program was instituted in 2011, we have demonstrated our commitment to do, while ensuring the long-term growth of our business. Our responsibility is to balance these tools in order to achieve our objectives at driving long-term shareholders value. While we see similar headwinds as others in the industry, environments like this represent tremendous opportunities for firms with staying power to establish leadership position. We are fortunate to have the flexibility to facilitate the growth of our core competencies by responding to the evolving nature of the industry, and by taking advantage of opportunities that continue to present themselves, when dislocation in our business takes place. You can see from last month's announcement of the agreement to acquire CRT's credit products business, credit research business, special situations and emerging markets unit, and we have an opportunity to partner and grow with Samantha Greenberg, as she scales her business. Our focus is ever on creating a platform that can perform well over the market cycle, and we thank our colleagues for their commitment to the organization. You all are certainly a tenacious bunch and cannot think of a better group of individuals to lead our customers and clients through these challenging markets. With that, I will open it up to questions. Operator?
Operator: [Operator Instructions] Our first question comes from Devin Ryan with JMP Securities.
Devin Ryan: Maybe just starting where you just left off there, Jeff. I mean, clearly a lot of pressure in the brokerage industry right now. We're seeing a number of firms coming back and maybe even more deeply in recent months. So it seems like on one hand these are attractive times to pickup talent, you can upgrade some seats on the other hand, business still very tough, suspending money into this backdrop could be even more dilutive, I guess, maybe near-term. And so I'm just trying to get a sense of how you guys are thinking about this period right now to invest in the business? And then how you're thinking about doing that just so that you don't take on too much risk given that it is an uncertain time right now. And then I guess, with that as a backdrop, where are really the biggest focuses right now? Is it bringing more research folks, upgrading sales, banking, where is the best bang for the buck in this type of erode pressure backdrop?
Jeffrey Solomon: So first let me say, we have been extremely judicious in terms of bringing on the number of people in areas where we have uncertainty about our ability to scale. Just to give orders of magnitude, in investment banking and capital markets, we have roughly the same number of people in investment banking and in the capital markets at the end of 2015 and into 2016 that Cowen had in 2010. So if you look at the change in the revenue profile of our organization, it's not been about scaling up in that business, it's really been about bringing in talented individuals and aligning the resources to the organization to do more with the same amount. So unlike other organizations, we are not looking at areas where we've got to strength meaningfully in banking and capital markets. We already have done the scale up in research, and so it's unlikely unless we see something really opportunistic with an individual here or there that will scale up in research. We've done a great job at scaling up. Certainly the Dahlman Rose acquisition was meaningful, but we've also upgraded talent meaningfully over the past few years. So our research footprint is actually pretty well sized relative to the market opportunity and not looking like we need to do anything meaningful beautiful there. In the equities business, certainly acquiring the prime services business is a great example. The dislocation that has gone on from the big banks of really kicking out a lot of the smaller managers is a function of the fact that these capital rules make it less than ideal for them to service small account. In fact, in many of the instances, we've seen some of the larger banks really pushing their smaller accounts to us, so they can square off with us on a more omnibus basis. Essentially we're acting as a role of aggregator and middle office and providing those services in exchange for commissions, which is a business we know exceedingly well. So we'll continue to look for businesses like the prime services business that leverage our fixed cost structure and I think we'll also continue to look at ways to upgrade potentially our capabilities once we integrate the CRT platform. That is totally opportunistic. As I think we discussed on the last call, although we hadn't particularly related to that. I mean this is the discussion we've been having with CRT for four or five years, we just couldn't get to agreement on terms. And we couldn't really get to an agreement until now on the businesses that we actually wanted to take on. And certainly, that happened in the last quarter. And so we're well-positioned to take advantage of those things where we can take on large teams that are going to be immediately accretive. In terms of adding talent, I certainly thin on the M&A advisory front, we could be adding some people there. But it's not like a wholesale mass investment, it's really bringing individuals on to already existing successful teams where we can leverage the client connectivity that we already have to offer more products and services. And so I just think that we're going to be in the market for really talented individual who seem to be coming our way with great regularity, as they're unhappy on their existing platforms or as other banks who really just force to make some pretty drastic moves. Does that answer your question?
Devin Ryan: It does. Maybe just another one here on the market backdrop. Financial conditions seem like maybe they've used a bit here over the past several months. We still haven't really seen much of a pick up in issuance, particularly in the life sciences space, where you guys were clearly a leader. You're hoping to have a nice backlog as conditions improve. So I'm just trying to get a sense, is that a function of timing and we're just hoping for few more weeks of stability, in that should do it in the market. So are there other considerations that you guys are seeing there just weighing on the appetite there, maybe regulatory or something else. And then along the same lines, can you put in additional perspective or maybe quantify the level of pent-up demand from an issue or perspective meaning. It really doesn't feel like we've hit desperation yet for the industry, but just trying to get some sense of it if you can size how big that pent-up backlog could be?
Jeffrey Solomon: I mean it's hard to give it a number. What I would say is that it's just inevitable. Most of the clients in that space are going to have to raise money eventually. A lot of them raised money last year, so we expected in the first market downturn with increased volatility, people just take a break, because they weren't desperate, most of the clients aren't desperate to raise money. Those that need to raise money are raising money anyway. And I think the higher quality clients who are already well-financed in the private market, and we've done a number of those deals, are just waiting for better market conditions. I would say though, this is not a biotech specific problem, I think we're having overall in the entire market, we had one tech IPO all year, I think there is a broader issue going on. In that most of the capital that flows into the market today are really on passive product and they're not huge buyers of new issues, so there really hasn't been any meaningful pickup in the issue across any industry. I feel fortunate or should we feel fortunate because we know that in the industries that we bank, particularly where we're focused from a capital raising standpoint, they're capital intensive and they require capital eventually. So I can't tell you that it's got to be a week or two weeks, I mean the conversation today, are the connectivity is there, people are simply waiting for the right time to reengage. And I would say a lot of that is really driven by the buyers. Frankly a lot of the long long-only and hedge funds, healthcare focused funds have been facing redemptions, and I think that seems to have slowed. We do spend a lot of time talking. So now that it seems to be slowed and people are less worried about having to raise liquidity, we can begin to have substantive conversation with them. What I will say though is for high quality companies, many with whom we're banking, if we bring them, investors seem to find capital to do the deal, so again, I just think, it is classic. We've seen it, there is pullback. We haven't seen quite the rally in prices in biotech that we've seen in other sectors. And when we do, the longer goes it along, eventually that turns around and we stand poised and ready to hit the go button as soon as the markets allow us to do that.
Devin Ryan: And maybe just last for me. The balance sheet clearly, tough quarter, tough backdrop, any perspective on how that's been trending quarter-to-date, just curious, if it's recovered at all with the little better market backdrop? And then separately should we be expecting any Luxembourg deals over the next several quarters?
Jeffrey Solomon: Two answers. The first one is I would say, our book is not terribly market directionally. I think we had seen a rally in some of our healthcare positions and emerging banking fund, but spreads and mergers arbs stays continue to be wide, so I think that operates in a different sphere, because it's not exactly correlated if you will to overall market direction. As far as Lux deals, listen, we work on them all the time, hard to predict when they come down [ph] through the pipe. I don't see one imminent, but within the next quarter or so, but we're in discussions all the time to acquire those. And if they're to be done we're certainly wanted a handful of firms that will do them or that are capable of doing them, so we're in discussions. It's too early to make any predictions though.
Operator: Our next question comes from Mike Adam from Sandler O'Neill.
Mike Adam: So another one, just kind of following up on some of the last line of question here about the challenging environment. Kind of looking at the other side of it, if revenue stayed depressed, how aggressive do you want to be on the cost side of the business? I know you're investing, you don't want to loose talent, but is there anything you can do on the non-comp side? And are there any initiatives underway to reduce non-comp expenses?
Peter Cohen: Well, Mike, we're always working on the non-comp side. And I think we can always do better on the non-comp side. Because no matter how hard you try, expenses creep in. It's definitely getting a lot of focus right now, because we want to look at protecting the downside, the upside takes for itself. I couldn't quantify it. But as we've grown, we can always find ways to being more efficient. And using technology is a way of supplementing a lot of labor and replacing costs.
Jeffrey Solomon: So we've got a bunch on the prime services side, and a bunch of businesses we've acquired where we've been streamlining processes. We certainly have actually taken costs out of our equity business over the years and have upgraded recently our CRM and we're doing a lot of around what we call optimization, which is really taking a look at the content production mechanism and making sure that it gets to the right client at the lowest possible cost delivery. So we tend to look at cost in conjunction to whether or not they're attached to revenue dollars. And obviously, we're not spending money in places where we don't think we can see revenue drive. And so we've always been doing that and I think the key for us is to continue to try to look for opportunities to scale the business by adding revenues without adding a lot of fixed costs. I would also say this, I mean, we've seen the growth in non-comp cost primarily because of the execution increases on our volume on execution and the migration of the business that we've seen from the cash equities business to the electronic execution business. One of the things that we were able to do with the prime services business is really migrate over a significant portion of that business to our own algorithmic trading capability. And again, we're talking about scaling the business without adding fixed costs, and I would say, here for without some of the technology investments that we made, you would have just seen as adding bodies to process the volume of business and we just haven't had to do that. So Peter is right, we continue to look at it and we look at it as an operating committee that drills down, we've got a lot of tools to help us make better decisions to make sure we keep cost under control, but we never really had the big spend in growth in costs, so we'll continue to tight it down and make sure that we have same power.
Mike Adam: And then on comp. I think you guys actually did a really nice job managing that comp ratio in the quarter. A little bit surprising given that you didn't have big contribution from the balance sheet performance. So I guess how are you able to achieve it and how sustainable is it below 59%?
Peter Cohen: Well, we have comp metric that we sort of manage the business to. And it's across each segment of the firm. And it's not one comp metric for the entire firm, but there are series for each operating division in the firm. And that's really how we improve compensation based on what we expect to pay as a percent of revenue. We're not going to subsidize compensation from very profitable parts of the firm for unprofitable parts of the firm. If the years have changed, it's still be a difficult year for comp. I think it's no secret that what's going on around the industry that comp is under tremendous pressure. Certainly, the big banks, now you've got the regulators looking at regulating compensation. I don't think there is a major firm that we haven't heard of that has been quietly letting people go. This is one of those periods, but the reality is there are fewer and fewer places where people practice their [ph] trade on the street and we'll do our best to pay people fairly, but we have to be remindful of our stockholders.
Jeffrey Solomon: So something we talked about a lot is the concept of the sustainability. And look, our business, there are great markets and there are not so great markets. And I think we, as clients, for years of Wall Street firms watched in amazement as they staff up in the great times and then shrink in times -- it just seems like that's not well thought out. From our standpoint, if we're looking at bringing -- and if you look at the longevity of people, partners on this platform. This isn't our first rodeo in a downturn, most of our bankers and most of our research analyst and sales people have seen slowdowns before. And so at the end of the day, it's not going to be this way forever. And if the quality of life and the capabilities we have at Cowen line up really well over business cycle. Compensation takes care of itself. We can't manage to any one year, you can't squeeze plus return and I think everybody understand that. Don't forget also that most of our employees here are equity owners and get it. And so for us this is about making sure that we can drive long-term sustainability and we're not going to doing anything that causes us to take significant operating losses at the expense of really making sure that we have the ability to be in a position to scale the business when markets are more accommodating. So I think it's a philosophy and that's how we're executing on it.
Mike Adam: So I mean it sounds like you guys are entirely committed to this story discipline in that and that we should expect this to be sustainable in coming quarters?
Jeffrey Solomon: Listen, I'd love for the markets to be better in the areas, but I can't. But there are things that are in our control, costs and expenses are clearly in our control. And then you put yourself in a position, so that when markets do turnaround in the spaces where you can be most obvious, then where it's most obviously to be successful, you do that. And again, I don't want us to gild the lily, it's tough, but I feel like in this downturn, we are well-positioned to take advantage of dislocation that might be happening to other people. In a way we've been -- our patience in waiting for this has enabled us to not be having to scramble like a lot of other firms to figure out what to do. We have missed and not done certain things and not overpaid for certain assets in better time, so we were concerned that in the next downturn, which is inevitable, that your love for the cost structure is not sustainable. So I'm not saying that everyday its like lollipop and gumdrops over year, but we're not in the same mode, I think, as a lot of competitors are, at least based on where are, because we're open and candid and honest about what we can and can't get done in this environment and we're well capitalized in managing the business through the challenging time.
Mike Adam: And last one for me. Jeff, you mentioned CRT, it sounds like it's expected to be closing coming weeks here. So at this point, are you little bit more comfortable maybe giving a better picture of the financial contribution you expect once you've onboarded the teams you're purchasing?
Jeffrey Solomon: It's good to be asked, I'm going to give the same answer I gave you last time, which is we'll talk about it on the first quarter after the business closes. The only reason I won't give you more guidance than we gave on the last call is only to say that I just know that when businesses are in transition, it takes time to ramp up. So just I don't know the speed at which the business is going to ramp. And CRT is a business that has been through two transformations in the last 24 months or that will have gone through two transformations in the last 24 months. And we're very confident -- and in fact, what I will say is that the on boarding of client has been significant. Like, we're not having problems opening up clients on the Cowen platform. Remember, we're not buying the CRT platform; we're actually just listing the team. So we're going through the process of engaging with clients on the Cowen platform directly. So we've a pretty good idea, the big volume clients are all getting open with us before we close. That's pretty good indication that the franchise is intact. If we were getting significant pushback from clients about why they should be adding Cowen as counterparty, then I might be a little bit concerned. So at least I'll allow that that what we've learned since the call we had about a month ago is that based our direct engagement with clients suggest that they see the same thing that we see, which is an opportunity to scale the business. Now, we'll see all that translates in the first quarter after we close, I'd be able to give you a lot more information, because we'll see it under our own roof.
Mike Adam: It's closing a week from tomorrow?
Jeffrey Solomon: I mean we're still subject to regulatory closing, but our target closing on this system is May 6.
Operator: Our next question comes from Steven Chubak with Nomura.
Sharon Leung: This is actually Sharon Leung filling in for Steven. So one more about CRT. I guess we've seen a sub-trend where fixed income was weak across the street in the first quarter. Can you give us any sense of how CRT [ph] fared at all in the recent quarter? And moving forward, should we think about the business as being tethered more to balance sheet and risk taking activities like the bulge brackets or more correlated to volume trends like the agency oriented brokers.
Jeffrey Solomon: So first, what we say, I think the business did okay in the first quarter. Although, it was sort of in line with our expectations, but I think long-term we have very different expectations about what we think we can do with the business on our platform. And what we've noticed in the acquisitions that we made, it is that the things that we do here and the connectivity that we have as an organization tend to promote more engagement from the companies that we have purchased. And I think that's fit to say, all I have to say is, whatever they are doing over there with whatever they have is just what they have, and there's no effect of the research footprint that we have, the sales effort that we have, the ability to cross-sell, the engagement that's going to go on once it's here. So I think the business has been fine, but it doesn't necessarily reflect what we think the business will do once we've had a chance to integrate it. Second, let me make it really clear, this is an agency execution business that is not required us to do capital commitment or take capital risk to facilitate trading in this business, right. So we're not in the business of committing capital, just the same way that we're not into the business of committing capital, and our equity execution business, it's an agency business. So what I will say is that I think interestingly enough, I don't look specifically at volume trends as something that are a way for us to predict how the CRT business will do. And then the reason I look at it is because it's subscale and it's focused in really, and what I would call, the stress and distressed markets, so story bond. So I think the primary driver here is whether or not we think is going to be more products that requires deep research on the balance sheet. And I believe that this is going that way, right. The business is going that way, so if I look at overall trends and how much trades in high yield or how much trades in investment grades like that's not indicative of what we think we can do with the market penetration, it's really more is a total addressable market increasing because the amount of stress and distress bond is increasing. And there I can say to for sure that's happening and we should be a beneficiary of that continued stress, particularly because we know what's happening in some of the sectors that we already cover from an equity standpoint. And so I think that's why I'm more indicative and so the metrics that I look at are more along the lines of the increasing potential defaults rates and stress bonds that's probably better indication.
Peter Cohen: Let me add to what Jeff said, what groups that are joining us is not just traditional fixed income agency flow oriented. There is a very unique emerging market, slow capability, again on an agency basis that comes as part of the acquisition. There is kind of unique special situations group that we like a lot that comes up with very unique ideas that they sell through their customers again on the agency basis. So it's not just purely a kind of traditional fixed income out of the bulge that it is going to be coming part of the firm.
Jeffrey Solomon: And also, what we loved about this, and I think when we did the Cowen Ramius merger, this is two groups of people who had been working together for a long periods of time. You look at the longevity of people inside the Cowen organization and then longevity of people inside the Ramius organization. These are people who have been working together for a long period of time over multiple markets cycles. The same dynamic exists at CRT. So this core team that we're bringing on is really a team that we're really working together under multiple market environments for the better part of a decade and a half. And that suggests to me that there is just a fantastic rhythm, that's why we like the idea of putting this together and it lines up very well with where we are culturally. We have done some things by the way, where we can episodically to make sure that we're getting our teams and people together to talk about business strategy broadly, about how we might be able to talk about markets we might be able to go after. But obviously we're precluded from really having any substantive dialogs until we get [indiscernible] approval. But early indications and dialogs we're going to be having about the things that we could be doing once we're together, suggested that we should be doing more collectively than either let doing on our own.
Sharon Leung: And now backing off of Mike's question earlier, when we think about the past to achieving your 10% ROTE target, given the current fixed expense base, how much more scaling on investment do you think is needed to get to the point where you can generate sufficient revenues to support reaching those targets?
Peter Cohen: I mean, what the markets going to do is I'll tell you.
Jeffrey Solomon: Here's an interesting way to look at this. I think, as we look at the model of sustainability, growing the lower margin businesses that have bigger volume, for example, like prime services, enable us -- you know, they're lower in profitability than investment backing is. On the surface of it, they are more sustainable. They just don't ebb and flow the same way that investment banking does. And so when I look at -- a part of the sustainability push is bringing on these businesses, they can smooth out the earnings. So that when you get the upturn in the businesses that add margin, you can make a lot more money. And when you have the inevitable downturn in those businesses, you have sustainability. So I look at it, it's more like fixed cost over repeatable business. I would say the same thing Ramius. So are continued to focus on scaling businesses where we can have meaningful AUM and drive management fees. Obviously, those are things that really go to continuing to add revenue without adding management fees. What's the number? We have revenue targets in our mind, but a lot of that just depends on, what I would call, the variable parts of our business, which is performance fees and investment banking.
Sharon Leung: And then one last one. Some other companies have reported that following a difficult start in first quarter, trends have kind of stabilized towards the end of the quarter and into March. Have you seen something similar on the brokerage side I guess?
Jeffrey Solomon: What I would say is, is that -- I've been actually quite impressed with our ability to do volumes when volumes are there. For me, when we look at the business, I actually compare our business to what happened in the last downturn and whether or not our daily revenue numbers are meaningfully higher than they were the last time we saw a challenging market like this. And I think, when I look for the improvement to funding in the investments we made in the business over the last three years, the improvement to funding is the fact that we can have a quarter like we had, even with equity volumes up in the first two months, and we are vastly exceeding that. We're increasing and have increased our market share greater than the market increased, right. And so, again, I think that this is what gives us the confidence to know that we have sustainability in the business even through the downturn and that's the key thing, because this isn't going to last forever. Companies are going to start to finance and M&A deals will start to pick up again, and when they do, we'll be there to do them.
Operator: And I'm not showing any further questions at this time. End of Q&A
Peter Cohen: All right, then. Thank you all for dialing-in.
Jeffrey Solomon: And we'll talk to you next quarter.
Peter Cohen: Talk to you next quarter. And let's look for a better environment to develop.
Jeffrey Solomon: Thanks, everybody.
Peter Cohen: Thanks, everyone.
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect. And have a wonderful day.